Operator: Hello everyone and thank you for joining the Primerica’s 3Q 2022 Earnings Conference Call. My name is [Derrick] [ph] and I'll be the operator for today. [Operator Instructions] I now have the pleasure of handing over to your host, Nicole Russell, Head of Investor Relations. Please go ahead, Nicole.
Nicole Russell: Thank you, [Derrick] [ph] and good morning, everyone. Welcome to Primerica's third quarter earnings call. A copy of our earnings press release, along with materials that are relevant to today's call, are posted on the Investor Relations section of our website. Joining our call today are our Chief Executive Officer, Glenn Williams; and our Chief Financial Officer, Alison Rand. Glenn and Alison will deliver prepared remarks, and then we’ll open the call up for questions. During our call, some of our comments may contain forward-looking statements in accordance with the Safe Harbor Provisions of the Securities Litigation Reform Act. The company assumes no obligation to update these statements to reflect new information. We refer you to our most recent Form 10-K filings, as maybe modified by subsequent Form 10-Q for a list of risks and uncertainties that could cause actual results to materially differ from those expressed or implied. We will also reference certain non-GAAP measures during this call, which we believe will provide additional insight into the company's operations. Reconciliations to non-GAAP measures to their respective GAAP numbers, are included at the end of the earnings press release, and are available on our Investor Relations website. I now turn the call over to Glenn.
Glenn Williams: Thank you, Nicole, and thanks, everyone, for joining us today. Third quarter results underscore the fundamental strengths of our business we continue to emerge as we move further away from the height of the pandemic. Our priorities remain focused on offering attractive Term Life products and serving investment clients in the face of difficult economic circumstances for middle income households, while we grow the size of our life license sales force. We are equally committed to building a successful senior health business and maintaining our capital return priorities, which include share buybacks. The highlights of our financial results show adjusted operating revenues of $676 million, declined 2% year-over-year influenced by significant equity market headwinds adversely impacting our ISP business. Diluted adjusted operating income per share of $3.02 grew 1% and ROAE remains solid at 23.8%. I will review our key business drivers and Alison will talk about how various crosswinds are impacting our financial results. As I noted during our earnings call in August, we focused this year's convention message on Primerica’s unique ability to serve the middle market, the attractiveness of our business model, and the importance of growing our life license sales force through recruiting and licensing. Building on the energy of the convention, we announced a series of recruiting incentives in the month of July that offer various licensing fee discounts. Our goal with these incentives was to generate increased excitement in the field about our business opportunity. The response to this promotion was even stronger than anticipated. In total, we added approximately 83,000 new recruits during the month of July. After this period of extraordinary results, we did not use any special incentives in August and September and recruiting returned to a more normalized level. This strong response to our business opportunity makes it clear that individuals place a premium on the independence and flexibility that comes with building a Primerica business. In total, we added nearly 128,000 new recruits during the third quarter of 2022. While we expect varying rates of licensing pull-through based on the commitment level of these recruits, results so far suggest that individuals who join Primerica at a discounted fee or obtaining their life license at about half the rate of traditional recruits. Our efforts to improve the licensing process are gaining traction and in the third quarter, we saw a 33% increase in new life licenses year-over-year. Part of our success during the quarter can be attributed to the large number of recruits in the pipeline. We also know that licensing success requires ongoing focus at both the company and field leadership levels. In addition, we rely on our licensing coaches to assist with pre-licensing work, continuous communication with new recruits, and close monitoring with progress tracking tools to keep recruits engaged and motivated. We remain laser focused on growing the sales force and our efforts are showing solid progress. Since the beginning of the year, we increased the size of the sales force by nearly 4% to 134,313 life license reps, which surpassed our prior estimated marks to fourth consecutive quarter of growth. The ongoing strength in recruiting along with the improvement noted in licensing gives us confidence that we can grow the sales force by more than 4% this year. Focusing on the Term Life segment, we issued around 71,000 new Term Life policies during the quarter or 6% fewer policies than in the prior year period. While sales volume was below our forecast, productivity remained in our historical range at 0.18 policies per life-licensed representative per month compared to 0.19 in the prior year period.  We believe that a combination of economic uncertainty and higher cost of living has started to impact middle income households, which in-turn slowed sales momentum. There may also have been some headwinds created by the sales force's anticipation of the launch of our new Term Life products at the end of October. We are bringing this new generation of products to market after spending the last few years monitoring developments in our industry to identify opportunities and to remain competitive. We've seen significant developments in underwriting and policy issue technology and a shift toward prioritizing client and rep experience at the point of sale. These industry wide trends along with our ongoing efforts to accurately price products and resolve points of friction have led us to create and introduce this product set. The sales force already has a high level of familiarity with many aspects of new products. The term lengths remain unchanged and we will continue to offer two products, one focused on speed and convenience, and the other, a more traditionally underwritten product focused on value. However, these new products include significant improvements that use advancements in technology, now widely available in the industry. Our end goal was to underwrite risk more quickly, while continuing to accurately match risk to price. We revamped our underwriting class structure expanding the number of rate classes from 4 to 10. In doing so, we were able to achieve our pricing goals without reducing our expected overall profits. In addition, extensive efforts were made to simplify our entire application process for both clients and representatives. The result is faster issue times and a simple and convenient process for purchasing new Term Life insurance. While this new and innovative approach is gaining acceptance across the industry, we maintain our unique advantage of personal advice through agent support. We expect these new products to drive future growth. However, as with any change of this magnitude, we anticipate a period of adjustment that could put short-term pressure on life sales and productivity. Combined with cost of living pressures and middle income households, we estimate fourth quarter sales to be about even with the prior year's levels.  Prolonged equity market volatility continues to erode investor confidence and pressure ISP results. Third quarter sales of $2.2 billion were 23% lower than the prior year period, although still strong compared to historical third quarter sales levels. Our client's long-term approach to retirement savings helped us maintain net flows of $714 million, which we believe compares favorably to industry trends. Clients remain committed to their investment goals and we've seen little change in automatic monthly investments, which comprised about 20% of mutual fund sales. Additionally, as we look at all lines of our investment business, we continue to see significant transactional volume, which signals continued demand for our products. Given the current level of uncertainty, our best estimate for the fourth quarter is for ISP sales to decline as much as 30%, compared to Q4 of last year. While this represents a decline, compared to last year's record sales, it's worth noting that we expect 2022 to be our second best year for sales. The Medicare annual enrollment period is underway and we continue to manage our senior health business thoughtfully and with discipline. As we enter our second AEP, we have approximately half the number of health licensed employee agents at e-TeleQuote this year as we match our staffing levels to sales targets. [Agent tenure] [ph] is much higher than it was last year, approximately 60% of ETQ's agents have been with us for one-year or more compared to 40% last year. We're also seeing improved agent efficiency. Agent productivity is up approximately 30%, compared to last year. We've made significant progress in reducing acquisition cost and feel better about expense levels as we enter this year's AEP. As the business scales, we estimate that leads generated by Primerica representatives who are certified to make referrals to e-TeleQuote could contribute on average between 10% and 15% of submitted applications. After we complete this AEP, we'll have a better understanding of the business and its profitability potential in the current environment. Keeping an eye on the future, we remain excited about the long-term opportunity in the mortgage business. We have approximately 1,900 mortgage license representatives across 24 states in which we originate mortgages and we plan to continue expanding into additional states. In the near term, interest rates are pressuring first mortgage loan volumes with third quarter sales down 70%, compared to the prior year period. We continue executing against a plan that takes into account the reality of elevated interest rates. With that, I'll turn it over to Alison.
Alison Rand: Thank you, Glenn, and good morning, everyone. Before we get started with a review of our core operating results, let me address the $60 million non-cash goodwill impairment charge recorded during the quarter. GAAP requires us to reform a goodwill impairment analysis annually for our senior health reporting unit, which we conducted as of July 1, 2022. The impairment charge reflects the calculated decline in the fair market value of our senior health business, which was primarily driven by an increase in the market based weighted average cost of capital used to discount the reporting units cash flows. The WACC was influenced by significant increases in current equity market risk premiums and interest rates. This charge has no impact on Primerica's cash flows or our ability to repurchase shares of our common stock, nor does it impact our plans for the senior health business as Glenn just discussed. Turning now to our operating results. Term Life segment operating revenues of 428 million grew 7% year-over-year, driven by a similar growth in adjusted direct premiums, while pretax income grew by 4%. The resulting Term Life operating margin was 19.3%, down slightly from 20% in the prior year period. As sales and persistency trends have normalized post-pandemic, [7%] [ph] growth in adjusted direct premiums. We can see this dynamic in the deceleration of ADP growth to an expected 8% for the full-year of 2022. We expect ADP growth to contract further in 2023 to around 6%, driven by a variety of factors. First, persistency is expected to continue its return to normal levels in 2023, while 2022 results benefited from lower lapse rates for part of the year. Second, while sales levels have normalized, strong sales in the first half of 2021 provided a tailwind to ADP growth in 2022. Finally, the Canadian exchange rate, which was relatively stable throughout 2022 dropped in September and our planning assumption is that it remains at this current level through 2023. Looking further into the future, assuming mid-single-digit sales growth, we expect ADP growth to remain at around 6% per year for the next three years. This predictable revenue growth is a function of the size and stability of our import premium base and the ongoing benefit of increasing benefit riders, which act as a buffer against any short-term negative deviation from our expected sales growth range. Moving next to Term Life segment expense drivers. The DAC amortization ratio at 16% was generally in-line with typical third quarter levels. We continue to see approximately [50%] [ph] higher lapses on policies issued during the peak of the pandemic from the second quarter of 2020 through the second quarter of 2021. As this group of policies continues to mature, its impact on overall persistency will decline. Policies issued in the most recent 12 months have generally experienced historical lapse rates. While we continue to observe lapses slightly below historical levels on policy issues before the pandemic. We will continue to monitor persistency trends closely to see if any negative trends emerge from the economic pressures on middle income households. We saw a significant reduction in excess net claims during the quarter with net claims exceeding historical levels by approximately 2 million. The excess net claims this period was split between COVID-related deaths and normal volatility, while 14 million of the 16 million in except net claims last year was related to COVID. The third quarter benefits and claims ratio was [59.5] [ph], compared to historical averages of approximately [58.5 to 59.0] [ph]. The excess net claims and elevated late duration persistency, which requires us to hold additional reserves, contributed to the upward pressure on the benefits and claims ratio. Finally, insurance expenses were in-line with expectations and lower than levels we saw in the first half of 2022, as we resume our normal schedule of sales force leadership events. At 7.5%, the insurance expense ratio is largely in-line with historical trends. As we look ahead to the fourth quarter, we expect the benefits and claims ratio to remain slightly elevated versus historical levels, reflecting the pandemic's fading impact on results. At this point, we do not see any notable COVID pull-forward effect on mortality results. We expect the GAAP ratio to be in-line with pre-pandemic historical levels, reflecting seasonally higher lapses in the fourth quarter. Finally, the pretax margin, which is generally lower in the fourth quarter, is expected to be around 19%. We continue to make progress on our LDTI implementation for 2023 and plan to provide full-year margin of performance ratio guidance under LDTI when we report fourth quarter results in February. As a reminder, while the new accounting standard modified the emergence of profit, it has no impact on cash flows or the economics of our business. We expect to recognize higher profits under LDTI, largely due to how deferred acquisition costs are amortized. Turning to the Investment Savings Product segments, economic headwinds and market volatility continue to significantly impact ISP results with revenue generating product sales down 28% and average client assets down 10% year-over-year. Operating revenues and pretax income were down 14% and 16%, respectively. With the ongoing market volatility, it remains difficult to forecast [3Q results] [ph]. Client asset values ended October at around 83 billion and assuming market levels remain unchanged for the remainder of the quarter, we expect fourth quarter asset based net revenues to decline by approximately 9 million year-over-year. As Glenn noted earlier, we expect to see sales volumes in the fourth quarter decline as much as 30%, which would reduce sales based net revenues by 6 million year-over-year. Turning next to the Senior Health segment, we continue to execute a deliberate plan to grow the business slowly as we gain experience with the evolving Senior Health sector. During the quarter, we saw both high LTVs and – higher LTVs and lower contract acquisition costs on a sequential quarter basis with the LTV and CAC ratio closing to just below one. We also recognized about 2.5 million of marketing development revenues from our carrier partners and a 1.7 million positive tail revenue adjustment from annual carrier and active commission rate increases applicable to a large part of the [in force book] [ph]. With the Medicare annual enrollment period now well underway, we expect fourth quarter operating earnings for the Senior Health segment to generally breakeven. We do not anticipate a need to provide funding to e-TeleQuote in 2022 as cash tax benefit from net operating losses will be sufficient to cover the segment's operations. In our corporate and other distributed products segment, the $4 million year-over-year increase in pretax operating loss was driven by lower earnings in the mortgage business as interest rate headwinds have [slowed down] [ph], as well as operating expenses that were – higher operating expenses that were allocated to the segment. Consolidated insurance and other operating expenses were 8.6 million or 7% higher than adjusted insurance and other operating expenses in the prior year. The year-over-year increase primarily reflects the cost to support growth in the sales force and Term Life business, higher employee related costs and ongoing investments in technology. As expected, expense growth has started to normalize from the elevated levels in experienced earlier in the year. Looking ahead to the fourth quarter, we expect insurance and other operating expenses to grow approximately 6%, driven by growth in our business and employee related costs.  Finally, our invested asset portfolio remains well diversified with an average rating of A and a duration of 4.8 years. Rising interest rates and to a lesser extent changes in credit spreads continued to impact its income prices with our invested asset portfolio, ending the period at an unrealized loss of 321 million. We regularly evaluate the portfolio from possible credit impairment and have taken very few this year. We do not believe the large unrealized loss is due to significant credit concerns within our holdings. We continue to have the ability intent to hold these investments until maturity. At less than five years, the relatively short duration of our portfolio means that a significant portion of our portfolio will mature over the next few years. On the plus side, rising rates have provided the opportunity for higher reinvestment rates than we have seen in the last several years, which will benefit net investment income over time. During the quarter, the reinvestment rate on our longer-term insurance company portfolios averaged about 5.25%, almost 300 basis points above the third quarter of last year. Liquidity at the holding company remains strong with invested assets and cash of 239 million and Primerica Life statutory risk-based capital ratio is estimated to be 450% as of September 30. We repurchased 97 million of our common stock during the quarter and we anticipate repurchasing the remaining 32 million of our authorization by the end of the year. With that, I will open the call up to questions.
Operator: [Operator Instructions] Our first question comes from Mark Hughes from Truist. Please go ahead, Mark.
Mark Hughes: Yeah. Thank you. Good morning. Hello. [Indiscernible].
Glenn Williams : A little late for that, Mark.
Mark Hughes: [Indiscernible] Your point about the new product launch on the new customer experience coming in October, when you think about the level of sales in 4Q, does that still represent a headwind and so you would anticipate as things normalize you would see some incremental momentum in Q1? How should we think about that?
Glenn Williams: Mark, we anticipate all the effort we put into this. This is going to give us a long-term benefit and long-term momentum. It's always a question of when it starts getting beyond the disruption of change and how significant it is when combined with all the other dynamics going on around us. So, I think the timing that you're mentioning makes sense. It will probably take us, you know the rest of this quarter to get through the expected and unexpected parts of change. I will say that we've been very pleased. Our team has done a fantastic job of preparing for the change and therefore, the disruption is kind of within the parameters that we had hoped for, but it is a change in a new set of understanding. There's a bit of sales that were in process. What do you do with those? So, the normal kinds of things you would expect, but hopefully we get through that by the end of this year, and then as we start next year, the new product is clearly a positive mixed in with the other headwinds we discussed, you know the economic conditions we do believe cost of living primarily is starting to pressure middle income families even more as it continues. And so, we're balancing those two, but that is – what you’ve described is what we would expect.
Mark Hughes: And then in the Senior Health business, Alison, do you have any guidance around approved plans or any comments around lifetime value per plan? Should it be – at least lifetime value should it be similar to what we saw in the third quarter?
Alison Rand: So, there is some seasonality associated with LTV’s just based on what you're selling in a given period. And part of the third quarter was obviously pre-AEP. So, those were policies that were most likely people who were turning 65 in the like. So, we got a relatively short amount of LTV because they all renew January 1. Theoretically, LTV should be higher in the fourth quarter and the first quarter in AEP and OEP. The big unknown and what we're waiting and marketing for and again this is why we are very slowly building this business is, we have yet to see what happens with ultimate placement rates during AEP, we won't know that till January. And we also won't know until January what renewed at the annual renewal cycle, which is January 1. So, we'll have a lot better clarity and the first of those items goes into the LTV. The second is more of a tail adjustment type of item. So, by the time we report in February, I think we'll have a pretty darn good clearer picture on LTV because we'll have good clarity into placement rates. What we will still be getting information on is the renewal cycle because those start really getting reported at the very end of January and into February. So, given the timing of earnings, we'll still be digesting that information. So, it's still yet to be told. We are seeing some positive signs as Glenn mentioned. So, far productivity looks good, and we're getting positive feedback, but again, until we see placements and ultimately then renewal rates on the book of business, it's going to be hard to determine what the forward look is.
Operator: The next question comes from Andrew Kligerman from Credit Suisse. Please go ahead, Andrew.
Andrew Kligerman: Good morning. How are you?
Glenn Williams : Doing great. How about you?
Andrew Kligerman: Excellent. Great to be talking to you. I was kind of curious, so you're rolling out a new term product. You rolled it out in October Glenn. I wasn't quite clear on what's different about it and what might give you optimism once you, kind of get through the setup in the fourth quarter? What might give you optimism about that particular product driving some sales growth next year?
Glenn Williams: Yes. We actually – we did some testing throughout the month of October, but we released the product on the 26 of October. So, it was at the very end of October. And what we see, Andrew, just to give you a little bit of a background about how we do this. We always have possibilities for improvements of our products in a shoot that we're always working or looking for an opportunity to make an adjustment, make change based on what we see in the marketplace or just point some friction that we've identified in our own system, but as we surveyed the market, a couple of years ago, we recognized there were a number of opportunities emerging and none of them are innovations that are unique to Primerica, but I believe what Primerica strength is, is combining innovations and creating a new set of innovations that's unique in the industry and it was a pretty long list of improvements. And so we saw the emerging technology and the underwriting innovation, and we also felt like it's always critical to have a focus on simplification of the interaction both for the client and with the sales process and our agent. And so, we implemented a lot of new technology, for example, client identification and security technology [indiscernible] two factor authentication. We had a DocuSign process that's safer and eliminates paper. We've got technology that creates a more convenient interaction with the client’s bank. So, that's more accurate and less prone to mistakes at application time. And then we've also improved our own technology, our MyPrimerica client web app so that we can start a relationship with clients at the point of sale that they can continue both through the agent and with us online or through the app. And so, there was a lot of front-end technology, as well as the underwriting process that I mentioned in my prepared remarks. More underwriting classes moving from 4 to 10 gives us more ability to personalize the pricing of the client to their exact risk And the challenge is, generally keeping it simple and convenient. I've got a saying precision is the enemy of simplicity, the more precise we get with the process, generally the more complex it gets. And so, what we wanted to do is, do all these new things, but have a simpler experience. And so that's why it took so long, but it's pretty significant change. And we did go through an entire simplification process. We brought in outside language experts to help us with the actual wording on our application. The wording in our policies We've gone to a question-and-answer format for the policy the clients get, so that everything is as intuitive as possible. So, none of that in and of itself is something that you go, well, that single piece was revolutionary, but you put it all together and it's being viewed by our sales force as a significant improvement in our product, which generates excitement, it generates confidence there, feel better about going – talking to people that maybe they wouldn't have gone to talk to about life insurance with the old product set. And so all of those are the positives, but it's enough change that it's going to take us a while to work that through the system. And as we said in Mark’s question, we think we can get that done by the end of the year because there's also some familiarity with the product. And so, the bottom line is, we believe we've got an innovative product probably as innovative a product is available in the market based on the reinsurers we're working with and their reactions. It's uniquely simple, which is perfect for the middle market and it's also more convenient for the client and agent and no change to profitability. So, that was quite a recipe if all put together. It's taken us some time and it'll take us a little time to implement, but when we come out the other side, I think there's going to be a much higher level of confidence and excitement among our sales force and a higher level of acceptance with the client that calls the process is as easy as you can find in the industry right now to protect your family with term insurance. So, we feel pretty good about it.
Andrew Kligerman: Very helpful, Glenn, and that sounds exciting. If I shift over to the Medicare area, e-TeleQuote, it’s interesting, Alison mentioned the agent team is now half of what it was. What drove that agent reduction? Was it intentional? Was there a lot of attrition? How did that come about over the course of the last 12 months?
Glenn Williams: Yes, Andrew, that was absolutely intentional. I mean there is attrition in the process, so you can get there by just letting the numbers [try] [ph], but if you do that only, you don't get to the right people left. And so, what we wanted was to have our most experienced, most effective and productive people remaining, obviously selling the most profitable businesses, we can measure it. And so, we worked deliberately. We did – we let some folks go. We didn't replace other people as they went and we wound up with a more experienced, more productive group.  It's not just productive, the top line sales, but also measuring about which reps we thought were going to give us the best persistency as we all know that's one of the challenges in the whole industry look going forward. And so as much as you can anticipate that, we put all of that together and said, this is the group we want to lead us through this ADP. And so, we feel like we've got the right group and the right size after that process.
Andrew Kligerman : And despite that Glenn, do you think there's a possibility that you could grow the top line more than last year with half the reps?
Glenn Williams: No. I don't think our top line, compared to last year. We're in a very different environment now where we're focused on the right size, not just as larger numbers as we can generate. So, I don't think it's going to be top line sales growth. I do think we're going to feel much better about the quality of what we sell this year than we did last year. And then once we feel like we get the quality and profitability where we have some confidence in it, then we can take a look at how fast we're going to grow the business after that.
Andrew Kligerman: Got it. Thank you so much.
Glenn Williams: Certainly. Thank you.
Operator: [Operator Instructions] We have a question from Dan Bergman from Jefferies. Dan, please go ahead. Your line is now open.
Glenn Williams: Good morning, Dan.
Dan Bergman: Good morning. Good morning. I guess just to start maybe following up around the prior questions, around the Term Life sales. I just wanted to see if there's anything you could add on top of your prepared remarks around the likely drivers of the pressure you saw in the term policies issued, specifically any sense of how much of an impact you're seeing from inflation, economic, uncertainty weighing on your customer base versus some of those other items you mentioned like any sales dip ahead of that new product? And just if inflation and economic uncertainty remain in place for a period of time going forward, should we expect Term Life sales to remain under pressure or do you have some confidence that the potential upside from things like the new product can help offset any headwind?
Glenn Williams: Well, Dan, that's – the question is, we've got both the positives and negatives in the process in trying to estimate which one will overpower the other is the tricky part. We've been asked about the cost of living impact on middle income, I think for the last two earnings calls, and in both times I expressed that we were pleasantly surprised that we weren't seeing pressure that we could attribute to that, but we do feel like that the length of time, the high cost of living has been pressuring middle income families, it is starting to weigh on them. If you're familiar with our financial security monitor that we do each quarter, which is a survey of middle income families, which we do for the exact purpose of understanding the struggles they have financially, our findings this quarter came back and said they reported to a 75% of the families we surveyed said they're cutting back on non-essential spending. 47% said they're cutting back [or pausing] [ph] on savings, and almost 30% said they're using their credit cards more. And so, while it's difficult to quantify, that tells us there's clear pressure financially on these families that could impact their ability to free-up disposable income to buy insurance among other things. And so, we do believe it's out there. It's very difficult to quantify and of course we work to offset to help offset that by helping clients reprioritize and maybe give up some of the things that are less important and keep these priorities like their financial game plan at the top of their priority list or add it to their priority list. So, we're always working to push back against that resistance, but it's pretty strong. We do believe that our, you know things that we do like our new product set gives us another ability to push back, but it's pretty hard to tell, which one is going to win the tug of war in 2023 right now. So, that's why we've given you the outlook for the fourth quarter that we think is about flat. I will note if you look back pre-pandemic, we're still playing above the realm, compared to 2019 and particularly in the quarter. So, that's a positive, but it's definitely one that's difficult to give an exact number on.
Dan Bergman : Got it. That's really helpful. Thank you. And then maybe just on licensing, we've typically calculated the licensing pull-through rate based on a one quarter lag for the new recruits. And I think on this basis, the licensing rate should – a really sizable step-up from recent quarters is the highest it's been in a while. So, is there any more color you can provide on what you're seeing here?  I mean is there any catch up from, kind of reopening of in-person licensing prep and also just given that the third quarter recruiting was pretty concentrated early in the quarter? I think with a lot in July. Did the current quarter [indiscernible] couldn't drive any of the benefit in the strong number of new licenses that we got in the third quarter? It sounded like that might have been the case based on your prepared remarks, but any more color you can give on the licensing front would be helpful.
Glenn Williams: Sure. We are seeing positive impact of our ongoing efforts. I mean, licensing is truly a blocking and tackling process where we continue to try to look for every opportunity for an incremental gain. And because there's a lot of human nature it’s taking those recruits and getting them to go to class and study and many haven't done that in decades quite honestly. And so, we have had success there both from getting people back in the class, which we believe is more effective and people studying online. A lot of that is in the accountability of our – that happens in our offices across the U.S. and Canada, holding those people accountable, scheduling them, making sure they show up at class and complete class. And so, it's a lot of those fundamentals. We are seeing improvement. We've got a lot higher focus on the importance of licensing based on the communications to inform our field leadership, that's always important.  So, we feel like we are making process with focus and with a better process. But it's an incremental approach and you're right, we load the pipeline with recruits. As we mentioned, that extraordinary number of recruits from July came in at a discounted rate and historically that means they're a little less committed and they don't attend class, complete class, take exams, and pass exams at the same rate as those that have paid a full licensing fee. So, we're trying to take all that into account, but we've got good momentum and we anticipate being able to continue it through the next quarters as we see it.
Dan Bergman: Got it. Thanks so much.
Glenn Williams: Certainly.
Operator: We have another question from Mark Hughes from Truist.
Glenn Williams: Mark, welcome back. I thought we might have lost you at the end earlier. Mark, are you there?
Operator: Mark, your line is now open, Mark. Mark, could you check you are not muted by any chance? It appears we have lost connection of Mark. In that regard, we have no further questions at this moment. So, I'm going to end today's call. Thank you everyone for joining. You may now disconnect your lines.